Operator: Hello, ladies and gentlemen, and welcome to the Crown Crafts, Inc. Investors Conference Call. Your host for today's call is Mr. Randall Chestnut, Chairman, President and Chief Executive Officer. [Operator Instructions]. Any reproduction of this call in whole or in part, is not permitted without prior written authorization from Crown Crafts, Inc. And as a reminder, this conference is being recorded today, November 11, 2020. And at this time, I would now like to turn the call over to Ms. Olivia Elliott, Vice President and CFO, who will begin the call. Please go ahead.
Olivia Elliott: Thank you. Welcome to the Crown Crafts Investor Conference Call for the Second Quarter of Fiscal 2021. With me today is Randall Chestnut, the company's President and Chief Executive Officer.
Randall Chestnut: Good afternoon.
Olivia Elliott: A telephone replay of the call will be available 1 hour after the end of the call through 4:00 p.m. Central Standard Time on November 18, 2020. Also, a web replay of the call will be available for 90 days and can be accessed by visiting our website at www.crowncrafts.com. Before we begin, I would like to remind listeners of the cautionary language regarding forward-looking statements contained in the press release. That same language applies to comments made in today's conference call. Also, in regard to comments made in today's conference call that are related to the company's recently announced dividends and its history of paying dividends, we remind listeners that the declaration of each dividend is at the discretion of the company's Board of Directors, and the company expressly disclaims any assurances as to the frequency and amount of any future dividend.  I will now turn the call over to Randall.
Randall Chestnut: Olivia, thank you, and thanks, everyone, for joining today, and we'll give a few comments. Olivia will come back and add to it. And as we said earlier, then we'll open it up for any questions that anyone may have. I'm only going to address the quarter, which ended on September 27, 2020, of which we reported the earnings yesterday afternoon after the market closed. Net sales for FY 2021, the current year were $21.659 million as opposed to the previous year FY 2020 of $18.560 million or an increase of $3.099 million or 16.7% increase.  Net income this year was $2.487 million as opposed to net income last year of $1.779 million or an increase of $708,000 or a percentage of 39.8%. Diluted earnings per share this year were $0.24, and last year, they were $0.18. Gross margin for the current year quarter was 32.8% of net sales up from 31.6% in the prior year quarter. Q2 was a record quarter in terms of net income. It was the best second quarter that we posted since 2002. It was also the best quarter we posted any quarter in over a decade. A little over 10 years ago, we had one quarter -- fourth quarter that was slightly better. But other than that, it was the second best. So in all respects, it's a quarter that we're very proud of and we're very pleased with. Sales for the quarter were primarily up due to strong sales to Internet retailers and Internet shipments directly to consumers. Demand for our products remained high during the COVID-19 pandemic. Our product development teams are focused on developing products that meet the high standard of our parents, which is -- which also led to our Sassy Stacks of Circles, Ring Stackers being awarded Newsweek's Best in STEM 2021 for all age groups, which is an award that we're very pleased to be honored to receive.  Turning to the balance sheet. We finished the quarter with $6.8 million of cash and no balance due on our revolving line of credit. Late yesterday, when we made the announcement, we announced that the company's Board of Directors had declared a cash dividend of the company's Series A common stock of $0.25 per share of onetime dividend and a quarterly cash dividend of $0.08 per share for a total of $0.33. Both of these dividends will be paid on December 31, 2020 to shareholders of record as of the close of business on December 11, 2020.  The company's financial health and exceptional cash flow allows us to once again reward our shareholders with the return on their investment. Upon payment of the special dividend and quarterly cash dividend, Crown Crafts will have distributed more than $46 million in total dividends to shareholders since 2010. We will remain committed to delivering value by operating the business in a visible matter -- manner while continuing to invest in growth strategies. We're pleased to announce a special dividend, which attests to the Board's ongoing confidence in the future of Crown Crafts.  Okay. I'll turn it over to Olivia for additional comments.
Olivia Elliott: I'm only going to give financial highlights. For more detailed analysis, please refer to the company's Form 10-Q filed with the Securities and Exchange Commission yesterday afternoon. Net sales were $21.7 million for the second quarter of fiscal 2021 compared with $18.6 million for the second quarter of the prior year, an increase of $3.1 million or 16.7%. Net sales were $37.9 million for the first 6 months of fiscal 2021, compared with $34.5 million for the same period of the prior year. An increase of $3.4 million or 9.7%. The increase in sales is due to a higher sell-through at major retailers, which has been partially offset by declines at certain retailers that have been impacted by the COVID-19 pandemic, particularly one customer that has remained closed throughout the entire 6-month period of the current year. Gross profit increased by $1.2 million and increased from 31.6% of net sales for the prior year quarter to 32.8% of net sales for the current year quarter. Gross profit increased by $1.7 million, an increase from 30.2% of net sales for the prior year 6-month period to 32% of net sales for the same period in the current year. The increase in gross profit is due to the increase in net sales, as well as a more favorable customer and product mix. Marketing and administrative expenses increased by $326,000, but decreased from 18.7% of net sales for the prior year quarter to 17.6% of net sales for the current year quarter.  Marketing and administrative expenses increased by $254,000 but decreased from 20.1% of net sales for the prior year 6-month period to 19% of net sales for the same period in the current year. The increase in amount for the current year-to-date period is primarily the result of higher outside services of $201,000 and higher advertising of $115,000, partially offset by lower travel expenses of $67,000. The current year-to-date provision for income taxes is based upon an estimated annual effective tax rate from continuing operations of 24.2% compared to 24% in the prior year. During the prior year 6-month period, the company reversed the reserves for unrecognized tax liabilities that it had previously recorded for fiscal years 2011 through 2013, which resulted in the recognition of a discrete income tax benefit of $232,000.  In addition, during both the current and prior year quarters, the company recorded discrete entries associated with excess tax benefits or charges arising from the vesting of nonvested stock during the period and also recorded reserves for unrecognized tax liability. The effective tax rate from continuing operations, combined with the effect of these discrete income tax charges and benefits, resulted in an overall provision for income taxes of 24.9% for the current year-to-date period and 18.8% for the prior year.  Net income for the second quarter of fiscal 2021 was $2.5 million or $0.24 per diluted share. Net income for the second quarter of fiscal 2020 was $1.8 million or $0.18 per diluted share. Net income for the first 6 months of fiscal 2021 was $3.7 million or $0.36 per diluted share compared to net income of $2.9 million or $0.28 per diluted share for the same period in fiscal 2020, which included $0.03 associated with the reversal of the discrete income tax benefit and the associated interest and penalties. And I'll now return the call to Randall.
Randall Chestnut: Olivia, thank you very much. And Andrea, if you'll come back on, we'll open it up for any questions, which anyone might have.
Operator: [Operator Instructions]. And the first question comes from Linda Bolton-Weiser of D.A. Davidson.
Linda Bolton-Weiser: Congratulations on a great quarter. So I was wondering if you could just give a little bit more color on the demand for your products because I guess I'm used to having it rely more on birth rates and things like that. But I mean, do you have any insight into what is going on? I mean, are people just redoing their nurseries and buying things for their infants or what color can you give us on the demand?
Randall Chestnut: Well, I mean, Linda, our demand has -- and we track point of sale, our demand for orders coming in and our POS or sell-through at the retailers, and we track the major ones, probably 80% of the retailers that -- 80% of the retail volume we track the POS, has remained extremely high throughout this entire period. And we think that it's been helped by people staying at home, having more time to shop the Internet, which our Internet business is up and having more time on their hands, which is good, and they're spending money. We also think early on the stimulus checks helped, and that did help move some goods through. But even beyond that, our product has remained extremely strong and that's what Olivia referred to as one account, which has been totally 0 for our first and second quarter, and it's a sizable customer. And we still overcame them. So it's -- the demand has been very high. We're pleased with it.
Linda Bolton-Weiser: Was there anything in the quarter that you could call out is unusual, any shifting of sales from prior quarter or anything of that nature?
Randall Chestnut: Linda, no. Not at all. There's nothing unusual that shifted from quarter-to-quarter. I hate to say it, it was just a good quarter. And we're proud of it.
Linda Bolton-Weiser: Right. So can I just ask about your marketing and administrative expenses? If you exclude the advertising, it crept up a little bit from $3 million to $3.4 million from the last quarter sequentially. So is that like a permanent new level? Or did you have some special costs that were in the quarter?
Olivia Elliott: It's normal expenses. I mean, some of it may be a little bit of timing here or there, but for the most part, other than advertising, it was just some outside services that is normal expenses.
Linda Bolton-Weiser: Okay. And -- yes.
Randall Chestnut: There is nothing extraordinary.
Linda Bolton-Weiser: You mean, nothing unusual?
Randall Chestnut: No there was nothing unusual or extraordinary.
Linda Bolton-Weiser: Okay. And last quarter, you mentioned the gross margin was helped by certain retailers being closed, the lower margin channels were closed. But you still had really good gross margin expansion. Did those retailer, some of those lower discount retailers, did they reopen back up in the quarter?
Randall Chestnut: They did. Some of them did, not all of them and not all of them to a full degree that we'd like to assume. But there's still some improvement in our gross margin by the fact that some of the people that normally buy with lesser gross margins have not had an opportunity to buy because their doors remain close. But that's not a big degree.
Linda Bolton-Weiser: Okay. And then finally, I guess on your -- your cash flows are obviously very strong. Do you foresee keeping the little bit of debt that you have on the balance sheet for the remainder of the year? Or do you think you'll pay that off in the second half of the fiscal year?
Olivia Elliott: The debt that's on the books right now is the PPP loan, which we have now filed for forgiveness to request that forgiveness, but we have not heard back yet. So that all depends on when we get word as to whether that's forgiven, and we need to either repay it or move it off from the balance sheet into a gain.
Operator: [Operator Instructions]. This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Randall Chestnut for any closing remarks.
Randall Chestnut: Andrea, thank you very much. And we appreciate everyone's time today and interest in the company. And to close, I'd like to say that management and the Board remains optimistic about the future. And as we have said many times on these conference calls and I'll say again, your company remains solid. Let me repeat that. Your company is solid. We'd like to thank all of our employees, suppliers, customers and shareholders for their continued support, and we look forward to speaking with you at the end of next quarter. This concludes our presentation. Thank you very much. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.